Operator: Ladies and gentlemen, thank you for standing by. Good day and welcome to the WD-40 Company Third Quarter Fiscal Year 2017 Earnings Conference Call. Today’s call is being recorded. At this time, all participants are in a listen-only mode. At the end of the prepared remarks, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the presentation over to your host for today’s call, Ms. Wendy Kelley, Director of Investor Relations and Corporate Communications. Please proceed.
Wendy Kelley: Thank you. Good afternoon and thanks to everyone for joining us today. On our call today are WD-40 Company’s President and Chief Executive Officer, Garry Ridge and Vice President and Chief Financial Officer, Jay Rembolt. In addition to the financial information presented on today’s call, we encourage investors to review our earnings presentation, earnings press release and Form 10-Q for the period ending May 31, 2017. These documents are available on our Investor Relations website at investor.wd40company.com. A replay and transcript of today’s call will also be made available at that location shortly after this call. On today’s call, we will discuss certain non-GAAP measures. The descriptions and reconciliations of these non-GAAP measures are available in our SEC filings as well as our earnings presentation. As a reminder, today’s call includes forward-looking statements about our expectations for the company’s future performance. Of course, actual results could differ materially. The company’s expectations, beliefs and projections are expressed in good faith, but there can be no assurance that they will be achieved or accomplished. Please refer to the risk factors detailed in our SEC filings for further discussions. Finally, for anyone listening to a webcast replay or reviewing a written transcript of this call, please note that all information presented is current only as of today’s date, July 10, 2017. The company disclaims any duty or obligation to update any forward-looking information whether as a result of new information, future events, or otherwise. With that, I’d now like to turn the call over to Garry.
Garry Ridge: Thanks, Wendy. Good day and thanks for joining us for today’s conference call. Today, we reported net sales of $98.2 million for the third quarter of fiscal year 2017, which was an increase of 2% from the third quarter of last fiscal year and a new company record. Net income for the third quarter was $14.4 million compared to $12.7 million in the third quarter of last fiscal year, an increase of 14% year-over-year. Diluted earnings per share for the third quarter were also a new company record at $1.02 compared to $0.88 for the same period last fiscal year. Now, let’s start with the discussion about our strategic initiatives. Strategic initiative number one is to grow the WD-40 Multi-Use Product. Our most important strategic initiative is to take the blue and yellow can with a little red top to more places for more people who will find more uses more frequently. In the third quarter, global sales of multi-use products were up slightly compared to the same period of last fiscal year. The softness came from the Americas segment and was offset by stronger sales in Asia-Pacific and the EMEA segment. I will discuss these fluctuations in more detail when I review the results by segment. Strategic initiative number two is to grow the WD-40 Specialist product line. Once we have built equity and established the power of the shield in a particular geography, we can leverage that brand recognition to develop new product lines like WD-40 Specialist. In the third quarter, global sales of WD-40 Specialist, was $7.3 million, which represents a 30% increase over the third quarter of last year. In fact, we had double-digit growth of WD-40 Specialist across all three trading blocks in the third quarter. The initial acceptance of our new WD-40 Specialist Greases in the U.S. has been very encouraging. Additionally, we delivered our first shipment of WD-40 Specialist Greases in the U.S. at the end of June. We continue to believe that WD-40 Specialist will be a sustainable revenue and earnings growth engine for many years to come. Strategic initiative number three is to broaden the product and revenue base. Our goal under this initiative is to leverage the recognized strengths of WD-40 Company to derive revenue from new sources and brands. We continue to expand the product offerings within our 3-IN-ONE and GT85 brands as well as WD-40 BIKE. In the third quarter, we launched 3-IN-ONE RBK product line. It’s a very early time for this, but we are excited and see lots of future opportunity with maintenance products in this new channel. Strategic initiative number four is to attract, develop, and retain outstanding tribe members. Our goal under this initiative is to attract, develop, and retain talented tribe members. Our long-term target under this initiative is to grow employee engagement to greater than 95%. As we shared with our investors earlier this fiscal year, we completed the acquisition of a new building that will house our San Diego-based tribe members. We are currently in the final process of renovating the property and expect to relocate our tribe to the new office facilities in late August. Strategic initiative number five is operational excellence. We are continuously focused on optimizing resources, systems, and processes as well as applying rigorous commitment to quality assurance, regulatory compliance, and intellectual property protection. Recently, we held our annual R&D and quality summit, where our researchers, scientists, and quality assurance tribe members gathered together to collaborate and gain alignment on some of the global opportunities and challenges our tribe is facing related to quality assurance, innovation, and regulatory compliance. The summit is a living breathing example of our tribe consistently striving to make it better than it is today. That completes the update on our strategic initiatives. So, let’s move on to the details of the third quarter results starting with sales. Consolidated net sales were $98.2 million in the third quarter, up $1.7 million versus last year. If we remove all foreign currency exchange impacts, our consolidated revenue would have been about $100.3 million, up $2.1 million or 4% compared to the third quarter of last fiscal year. This $2.1 million difference is due to the fact that in the third quarter we generated approximately 40% of our sales in currencies other than U.S. dollar and changes in foreign currency exchange rates continue to negatively impact our consolidated results. Translation of foreign subsidiary results from their functional currencies to the U.S. dollar had an unfavorable impact on sales of $4.7 million. On a constant currency basis, total net sales would have been $102.9 million, an increase of 7% compared to last year. This is what we refer to as translational related exposure and it impacts reported results from Canada, Australia, China, and the EMEA segment. However, due to changing foreign currency exchange rates, our consolidated net sales were actually improved this quarter by about $2.6 million due to the transaction related impacts. This currency exposure only impacts our reported EMEA results, and primarily due to the impact of the strengthening of the euro and the U.S. dollar against the pound sterling. Now, let’s take a closer look at what’s happening in the individual segments. We will start with the Americas. Consolidated net sales in the Americas, which includes the United States, Latin America, and Canada decreased to $49 million in the third quarter, down about 2% from last year. Sales of maintenance products in the Americas decreased 1% in the third quarter, primarily due to the 3% decrease in the sales of maintenance products in the United States. The decrease in the United States was driven primarily by shifting buying patterns in some trade channels as well as efforts of certain customers to more closely manage inventory levels. Maintenance products sales in Canada were up 10% in the third quarter, primarily driven by improving market and economic conditions as well as increase in sales associated with our promotional programs. Maintenance product sales in Latin America were up 8% in the quarter, primarily due to higher sales of WD-40 Multi-Use Product in Mexico. Although sales in Mexico increased in the current quarter, business conditions in Mexico continue to be uncertain. As a reminder, our maintenance products exclude our homecare and cleaning products. We continue to consider our homecare and cleaning products specifically in the U.S. as harvest brands that continue to generate meaningful contributions in cash flows, but I generally expect it to become a smaller part of the business over time. Sales of our homecare and cleaning products in the Americas decreased 5% in the third quarter compared to the same period of last year. Now, let’s go on to EMEA. Consolidated net sales in EMEA which includes Europe, Middle East, Africa and India increased to $34.4 million in the third quarter, up 4% from last year. EMEA’s reported results in the third quarter were negatively impacted by foreign currency exchange headwinds. On a constant currency basis, sales in EMEA would have been $38.9 million, an increase of $6 million or 18% compared to the last year. However, these constant currency numbers do not paint a complete picture since we experienced favorable impacts of $2.6 million from transaction related exposures in the third quarter. We think the very best way to give you a complete look at how our markets are performing is to look at our results in local currencies in which we conduct sales transactions in our direct markets. Although the reported sales in direct markets decreased 1% in U.S. dollars in the third quarter, sales in euro based direct markets increased 4% driven by growth throughout Continental Europe mainly due to increased sales of WD-40 Specialist. Sales in our pound based direct markets increased by 8% driven by strong sales of maintenance products. Our EMEA direct markets accounted for 64% of the region sales. The remaining 36% of EMEA sales during the quarter were generated by our distributor markets. Distributor market sales increased 16% in U.S. dollars in the third quarter, primarily due to higher sales of WD-40 Multi-Use Products in Eastern Europe, particularly in Russia as a result of more stable market conditions in the region. We would like to remind investors that political and economic instability in the region makes it difficult for us to predict what level of sales we will have in this market in the future. If we now could we will go down to Asia-Pac. Consolidated net sales in Asia Pacific which includes Australia, China and other countries in the region increased to $14.7 million in the third quarter, up 8% from last year. Although changes in foreign currency exchange rates did not have a material impact on sales, fluctuation in foreign currency exchange rates impacted sales results in both China and Australia. In Australia net sales in U.S. dollars were $4.5 million in the third quarter, up 4% compared to last year, changes in foreign currency exchange rates has a favorable impact on these results. In its functional currency, the Australian dollar sales were up 1% in the quarter primarily due to continued growth of the base business. In China, net sales in U.S. dollars were $3.6 million in the third quarter, up 6% compared to last year. Changes in foreign currency exchange rates had a negative impact on these results. In its functional currency, the Chinese RMB sales were up 12% in the quarter. The growth in China was primarily due to new distribution and continued growth in sales in our largest customers in the region. We continue to remain optimistic about the long-term opportunities in China. However, we expect a lot of volatility along the way due to the timing of promotional programs, the building of distribution shifting economic conditions and varying industrial activities. In our Asian distributor markets net sales was $6.7 million for the quarter, up 12% compared to last year. The increase in sales was primarily driven by the timing of customer orders and a high level of promotional activities for WD-40 Multi-Use Product particularly in Indonesia, the Philippines and Taiwan. Our Asian distributor markets are not impacted by currency since we sell our products in U.S. dollars. I will take the pause now and turn over to Jay and ask him to review the financials.
Jay Rembolt: Thanks, Garry. First, let’s review our 55/30/25 business model, the long-term targets we use to guide our business. As you may recall, the 55 represents gross margin, which we target to be a 55% of net sales. The 30 represents our cost of doing business, which is our total operating expenses excluding depreciation and amortization. Our target is to be at 30% of net sales. And that leaves us finally with the 25, which represents EBITDA. First, the 55 our gross margin, in the third quarter, our gross margin was 55.3% compared to 56.8% in the third quarter of last year. Net changes in major input costs, which include petroleum-based specialty chemicals and aerosol cans, negatively impacted our gross margin by 180 basis points in the current quarter primarily due to the increased cost associated with petroleum-based products. As you know, crude oil was one of the primary feedstocks of our petroleum-based specialty chemicals. This impact is even more pronounced in our EMEA segment, where cost of petroleum-based specialty chemicals are sourced in pound sterling, yet the underlying inputs are denominated in U.S. dollars. The overall strengthening of the U.S. dollar against the pound sterling from period to period resulted in a significant increase in cost of goods in pound sterling. Sales mix and other miscellaneous costs also negatively impacted our gross margin by 50 basis points primarily due to product shifts in the Americas. Advertising, promotional and other discounts increased compared to last year in our Americas segments and negatively impacted our gross margin by 20 basis points. The gross margin was also negatively impacted by 10 basis points, due to higher warehousing and inbound freight costs primarily in the Americas and Asia-Pacific. These negative impacts to gross margin were partially offset by changes in foreign currency exchange rates, which positively impacted our margin by 100 basis points. This is because in EMEA, our cost of goods are primarily sourced in pound sterling, while approximately 45% of our revenues are generated in euros, with 25% in U.S. dollars and only the remaining 30% are generated in pound sterling. The combined effect of the strengthening of both the euro and the U.S. dollar against the pound sterling caused revenues in total to be more in pound sterling thus improving our gross margin. The gross margin was also positively impacted by 10 basis points due to selected price increases, which were implemented in our EMEA segment over the last 12 months. As a reminder, our gross margin target of 55% is not contingent on oil stain at any particular price point. We cannot control global market dynamics such as the price of crude oil or fluctuating currencies, but we can and are continuing to be focused and deliver in managing the rest of our business, so that we can maintain gross margin at a level close to our target 55% over the long-term. And that completes our discussion on gross margin. Now, we will address the 30 or our cost of doing business. In the third quarter, our cost of doing business declined to 33%, down from 36% last year. This decline is primarily due to lower employee related costs along with lower A&P investments as well as the increased leverage gained by higher reported revenues compared to the prior year period. While our target is to have our cost of doing business at 30% of net sales, we plan to continue to make thoughtful and deliberate investments in support of our fifth strategic initiative that of operational excellence. And to support the long-term growth objectives of our business and this includes investments in quality assurance, regulatory compliance and intellectual property protection in order to safeguard the blue and yellow can with the little red top. We expect to move closer to our long-term target of 30 over time as revenues grow. For the third quarter 75% of our cost of business came from three areas our people costs, the investments we make in our tribe, the investments we make in marketing advertising and promotion. As a percentage of sales our A&P investment was 5.5% in the third quarter compared to 6.4% in the prior year period. And finally freight costs, the cost to get our products to our customers and that brings us to EBITDA, the last of our 55/30/25 measures. EBITDA was 23% of net sales in the third quarter compared to 20% last year. Now as we completed our discussion of the 55/30/25 business model, I will go on and discuss the couple of other items worth noting. Other income and expense changed by $1.1 million from quarter-to-quarter, primarily due to foreign currency exchange gains and losses. We recorded foreign currency exchange gains of less than $100,000 in the third quarter this year. This compares to $800,000 in foreign currency exchange losses that we experienced last year. The change was primarily due to the relative movement of foreign currency exchange rates and the fluctuation of non-functional currency balance sheet accounts. The provision for income taxes was 28.8% in the third quarter compared to 28.1% last year. The increase was primarily driven by a slight shift of expected annual earnings generated between the U.S. and foreign operations year-over-year. Net income for the third quarter was $14.4 million versus $12.7 million in the prior year. Changes in foreign currency exchange rates had an unfavorable impact on the translation of our consolidated results. On a constant currency basis net income would have been $15.1 million in the quarter. Diluted earnings per common share were $1.02 in the third quarter compared to $0.88 for the same period last year. Diluted weighted average shares outstanding decreased to 14.1 million shares from 14.3 million shares a year ago. Now a word about capital allocation, our capital allocation strategy includes a comprehensive approach to balance investing in long-term growth while providing strong returns for our stock holders. We target our maintenance CapEx of between 1% and 2% of net sales and as Garry mentioned earlier on the call in addition to our maintenance CapEx in the current year, we are making an investment of approximately $18.5 million to buy and renovate a new office building to house our San Diego based tribe members. In addition, we continue to return capital to our shareholders through regular dividends and share repurchases. On June 20, our Board of Directors approved a regular quarterly cash dividend of $0.49 per share payable July 31 to stockholders of record at the close of business on July 21. Based on today’s closing price of $110.30, the annualized dividend yield is 1.8%. So far in this fiscal year we have repurchased approximately 245,000 shares of our stock at a total cost of $26.2 million under their current $75 million share repurchase plan which had been approved by the Board of Directors in June of 2016. As of the end of the third quarter we had $48.8 million remaining under the plan. With that, let’s turn to guidance. We have lowered our fiscal year 2017 revenue guidance. However, our remaining guidance remains unchanged. Net sales is projected to be flat to up 2% with net sales expected to be between $382 million and $388 million. Gross margin for the full year is expected to be above 56%. Advertising and promotion investment is projected to be below 6% with net income expected to be between $51.3 million and $52.3 million. Diluted earnings per share is expected to be between $3.64 and $3.71 based on 14.1 million weighted average shares outstanding. As a reminder, this guidance doesn’t include any future acquisitions or divestitures and assumes that currency rates will – and crude oil prices will remain close to current levels for the duration of 2017. That completes the financial overview, now I will turn it back to Garry.
Garry Ridge: Thanks Jay. In closing, let’s summarize what you did hear from us on the call today. You heard that we reported net sales of $98.2 million, a new record for the company in the third quarter. You heard that reported diluted earnings per share of $1.02, another company record. You heard that globally maintenance product sales grew 3% in the third quarter. You heard that global sales of WD-40 Specialists grew 30% this quarter and that we had double digit growth of Specialist in all three trading blocks. You heard that foreign currency exchange rates continue to be a headwind and on a constant currency basis reduced that net sales by approximately $4.7 million. Additionally, you heard that this reduction in sales was significantly offset by $2.6 million in transaction related impacts in EMEA due to the strengthening of the euro and the U.S. dollar against the pound sterling. You heard that we are maintaining our net income and EPS guidance for fiscal year, but that we are lowering our revenue guidance. So historically in closing today which is the last conference call we will do from the facility here in Cudahy Place, I would like to share with you a quote from Simon Sinek, it’s better to go slow in the right direction than to go fast in the wrong direction. Thank you for joining us today. And we would be pleased now to open the conference call for your questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Daniel Rizzo from Jefferies. Please proceed with your question.
Daniel Rizzo: Hi everyone, how are you doing?
Garry Ridge: Good, Daniel.
Jay Rembolt: Very good. Thank you.
Daniel Rizzo: Could you just provide some color on the – you mentioned inventory management in the U.S., I was wondering if that’s going to persist and potentially through third quarter. And also I was looking for color on that, I guess you said something about shifting buying patterns, I just kind of wondered kind of what that means?
Garry Ridge: Sure. Thanks Daniel. At the end of third quarter of last year, we had a number of our customers in the U.S. that helped us in the completion of our 50-state VOC transfer to get to the full U.S. 50-state compliance, so there were revenues in the third quarter of last year that included those purchases that aren’t there this year. So those are the shifting buying patterns that we see. So I would not suggest you that this is a systemic issue, it’s more of an event than a trend.
Daniel Rizzo: Okay. And then so that’s what you are talking about inventory overhang as well, then?
Garry Ridge: Correct.
Daniel Rizzo: Okay. And then it just seem like also that the Americas EBIT was up significantly sequentially year-over-year versus everything else, I was wondering I mean given some of the inventory de-stocking issues and some of the near-term headwinds you had while that is like I just was wondering why you have done so well with that?
Garry Ridge: Well, a couple of reasons. Number one is that our operating expenses, the leverage was greater in the quarter than before. So, I think that’s number one. Number two is that the U.S. is not going to maximize its GRP, which is our growth reward program this year, which is how a number of our pay-for-performance elements are established for our U.S. based employees. So, some of our employee costs and accruals are down for the year, but I think that given the state of the business, I think it’s because the tribe are managing through different waters, yes, pretty well. And if you look overall, our household products were down 5% and they continue to decline as part of our total revenue, which we have been talking about for many years now. Our core business is growing. And if you were to take out the currency fluctuations, our core business is growing at a reasonable rate. So, there is a lot of noise I think in the reporting, and if there has been particularly because of currency for a while, but our core business is doing well and we will continue to work towards our long-term goals, which we are still very comfortable with and intend on delivering on over time.
Daniel Rizzo: Alright, cool. Thank you for the color.
Garry Ridge: You’re welcome.
Operator: Ladies and gentlemen, that does conclude our allotted time for questions. We thank you for your participation on today’s conference call and ask that you please disconnect your lines.